Operator: Greetings. Welcome to the Construction Partners, Inc. Fourth Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Rick Black, Investor Relations. Thank you, Rick. You may begin.
Rick Black: Thank you, operator. And good morning, everyone. We appreciate you joining us for the Construction Partners conference call to review fourth quarter and year-end results for fiscal 2023. This call is also being webcast and can be accessed through the audio link on the Events & Presentations page of the Investor Relations section of constructionpartners.net. Information recorded on this call speaks only as of today, November 29, 2023. So please be advised that any time-sensitive information may no longer be accurate as of the date of any replay or transcript reading.  I would also like to remind you that statements made in today's discussion that are not historical facts, including statements of expectations or future events or future financial performance, are considered forward-looking statements made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. We will be making forward-looking statements as part of today's call that by their nature are uncertain and outside of the company's control. Actual results may differ materially. Please refer to our earnings press release for our disclosures on forward-looking statements. These factors and other risks and uncertainties are described in detail in the company's filings with the Securities and Exchange Commission.  Management will also refer to non-GAAP measures, including adjusted EBITDA. Reconciliations to the nearest GAAP measures can be found at the end of our earnings release. Construction Partners assumes no obligation to publicly update or revise any forward-looking statements. And now, I would like to turn the call over to Construction Partners' CEO, Jule Smith. Jule?
Fred Smith, III: Thank you, Rick. And good morning, everyone. With me on the call today are Greg Hoffman, our Chief Financial Officer, and Ned Fleming, our Executive Chairman. I'll begin with an overview of the business followed by Greg reviewing our financials in more detail.  We finished the year with a strong quarter that drove substantial year-over-year growth for both the fourth quarter and the year. Fiscal 2023 revenue was up 20% year-over-year and adjusted EBITDA was up 57% and net income was up over 129%. And consistent with our goal at the beginning of the year to return to double-digit margins, we achieved a full year adjusted EBITDA margin of 11.1%.  We also returned to the normal CPI business model of generating strong cash flow. We ended the year with cash flow from operations of $157 million and lowered our leverage ratio, while continuing to drive both organic and acquisitive growth throughout the year.  Today, we are reporting a record backlog of $1.6 billion. This is evidence that the demand environment is greater than at any time in our past, supported by healthy public funding programs, as well as strong commercial markets throughout our six southeastern states.  And in regard to the IIJA, while the bill passed three years ago and the funding only began flowing to the states over the past two years, with construction project work starting in the past year, we are still in the early innings on the construction side of this generational investment in our nation's infrastructure.  In the southeast, our states are growing, and they remain focused on maintaining and improving the quality of their roads as well as increasing capacity to handle the significant migration to the southeastern United States.  Both of these types of projects are in the sweet spot for CPIs operational capabilities, along with other types of projects such as airports, ports and rail lots. After decades of falling behind and neglecting infrastructure maintenance needs, we believe that IIJA serves as a downpayment on the maintenance and new construction needed to support our country's infrastructure. After this initial downpayment, there will remain a great deal of work needed in future years beyond the IIJA.  In addition, several states we operate in, such as Tennessee, South Carolina, North Carolina and Florida, have also recently passed additional supplemental funding plans on top of their existing funding mechanisms to try and keep pace with their rapid growth and the needs of their states.  Turning now to CPI's strategic growth model. Subsequent to the end of our fiscal year of September 30, we've completed two strategic acquisitions that enabled us to enter new growth markets and strengthen our market share in existing ones.  First, on October 2, we expanded our operations in the upstate area of South Carolina by acquiring Hubbard Paving & Grading in Walhalla. The acquisition adds a hot mix asphalt plant and related construction operations to our South Carolina platform company, King Asphalt, and expand its service market westward in the upstate region.  The second acquisition we announced on November 1 was the Reeves Construction assets in the Charlotte, Rock Hill area that added three hot mix asphalt plants and related construction operations in Concord, North Carolina and Rock Hill and McConnells, South Carolina.  We entered the Charlotte market last year through acquisition of Ferebee Corporation in the upstate region of South Carolina two years ago through our acquisition of King Asphalt. In both areas, we continue to experience a strong economic climate, favorable demographic trends and other tailwinds supporting the need for infrastructure services.  As we move into a new year, we continue to have numerous conversations with potential sellers both inside and outside of our current states, and we remain patient and focused on finding the best strategic acquisitions that expand our footprint and grow relative market share.  We believe CPI is seen as the buyer of choice for many owners in the southeast due to our reputation for treating sellers fairly, providing career opportunities for their employees and our track record of successfully integrating and growing companies.  Last month, we were pleased to host our first ever Analyst Day in New York. And as we said then, the big news for CPI is that there is no new news. Our plan is to continue to execute on the same strategy the company was founded – to capitalize on the substantial need to invest in infrastructure in the growing Sunbelt region of the US.  Analyst Day allowed us to showcase our unique culture at CPI as a family of companies and to highlight our operating company presidents. They are the industry leaders that drive CPI's differentiated strategy of operating in distinct local markets with local workforces and generating stable recurring revenue from repeat customers, while continuing to build smaller size projects, with lower risk profiles and higher margins.  Our Analyst Day also served as an opportunity to introduce our FY 2024 outlook as part of our five year strategic plan that we call Roadmap 2027. This plan outlines our growth targets that represent annual revenue growth of 15% to 20% and EBITDA margins in the range of 13% to 14% by 2027.  Our top line growth strategy will continue to prioritize organic growth in our current markets, as well as finding opportunities for green building facilities in adjacent markets, and finally, our third growth lever of strategic acquisitions.  Margin expansion also has three levers. First, by building better local markets, with increased market share as the number one or two player in each of our local markets and improving market intelligence. Secondly, we want to use vertical integration to continue to gain more margin along the value chain on materials and services. And finally, as our business continues to grow, there will be additional benefits of scale that will steadily contribute to margin expansion.  Also crucial to our strategic plan is further widening the competitive advantage through our workforce by building on our strong organizational culture as a family of companies and providing superior benefits, career opportunities which attract and retain the best construction professionals. At CPI, we're dedicated to building better lives and to building the infrastructure that keeps our communities connected.  As we wrap up a successful fiscal year, I'd like to thank our hard working board of directors, many of whom have been serving as director since the founding of the company 24 years ago. Their expertise and experience continue to provide wise counsel to the company's leadership team.  I want to conclude by also thanking the more than 4,200 employees at CPI for their hard work and professionalism in delivering a strong fiscal year 2023 and being prepared for dynamic growth in our new fiscal year 2024. Most importantly, thank you for watching out for your teammates, and keeping each other safe each and every day in our work sites.  I'd now like to turn the call over to Greg. 
Greg Hoffman : Thank you, Jule. And good morning, everyone. I'll begin with a review of our key performance metrics for the fiscal year before discussing our outlook for fiscal 2024.  Revenue was $1.56 billion, an increase of 20% compared to last year. The mix of our total revenue growth for the year was 8.7% organic revenue and 11.4% from recent acquisitions.  During the final quarter of the fiscal year, the weather across our states was better than seasonal averages and compared favorably to the fourth quarter last year.  I'd also point out that the liquid asphalt index reimbursements we received this year in the fourth quarter were much lower than last year, as liquid asphalt has trended down for most of the year. Liquid asphalt prices were relatively flat in fiscal 2023. Consequently, we received $1.3 million for liquid asphalt index reimbursements in Q4 2023 compared to $10.7 million in Q4 last year. Excluding the impact of these reimbursements, the company's organic growth rate would be 9.6% and the overall revenue growth would be 21%. Gross profit in fiscal 2023 was $196.4 million, an increase of approximately 41% compared to last year. As a percentage of total revenues, gross profit was 12.6% in fiscal 2023 compared to 10.7% last year.  General and administrative expenses as a percentage of total revenue in fiscal 2023 declined to 8.1% compared to 8.3% last year.  Net income was $49 million, an increase of 129% compared to $21.4 million last year.  Adjusted EBITDA was $174.1 million, an increase of 57% compared to last year. adjusted EBITDA margin for the year was 11.1% compared to 8.5% in fiscal 2022.  You can find GAAP to non-GAAP reconciliations of net income and adjusted EBITDA financial measures at the end of today's earnings release.  In addition, as Jule mentioned, we are reporting a record project backlog of $1.6 billion at September 30, 2023.  Turning now to the balance sheet. We had $48.2 million of cash and cash equivalents and $222.1 million available under the credit facility, net of a reduction for outstanding letters of credit. We have $283.8 million of principal outstanding under the term loan and $93.1 million outstanding under the revolving credit facility. The availability on our credit facility and cash generation will continue to provide flexibility and capacity to allow for potential near-term acquisitions and high value growth opportunities.  As a reminder, the company entered into an interest rate swap agreement that fixes SOFR at 1.85%, which results in an interest rate on $300 million of term debt of 3.1%. This is a reduction of 50 basis points from 09/30/2022. The maturity date of this swap is June 30, 2027.  As of the end of the quarter, our debt to trailing 12-months EBITDA ratio was 1.72. As Jule mentioned, we also reduced our leverage ratio year-over-year from 2.78, while continuing to grow organically and acquisitively. Our expectation is that leverage ratio will maintain a range of 1.5 to 2.5 while continuing to add sustained profitable growth.  Cash provided by operating activities was $157.2 million compared to the $16.5 million in fiscal 2022.  Net capital expenditures for fiscal 2023 were $80.1 million, consisting of $97.8 million in capital purchases and $17.7 million of proceeds from the sale of property, plant equipment. We expect net capital expenditures for fiscal 2024 to be in the range of $90 million to $95 million. This includes maintenance CapEx of approximately 3.25% of revenue, with the remaining amount invested in high return growth initiatives.  Today, we are maintaining the fiscal year 2024 outlook that was introduced at our Analyst Day event last month on October 4, 2023. We expect revenue in the range of $1.75 billion to $1.825 billion, net income in the range of $63 million to $70 million, and adjusted EBITDA in the range of $197 million to $219 million, which reflects adjusted EBITDA margin in the range of 11.3% to 12%.  And with that, we are now ready to take your questions. Operator?
Operator: [Operator Instructions]. Our first question is from Kathryn Thompson with Thompson Research Group. 
Brian Biros: It's actually Brian Biros on for Kathryn. First on the on the EBITDA guidance, top end gets you back to 12%. That'd be great. Low end is more about 20 basis points off of kind of where you ended the current year. Can you just touch on the low end scenario there and kind of what are the building blocks to get to that kind of 20 basis point margin growth there?
Greg Hoffman: Brian, in our guidance and in our Roadmap 2027 that we talked about last month at the Analyst Day, we expect to have 50 basis points to 75 basis points of margin improvement each year. That's what our Roadmap 2027 calls for.  But when we give guidance, we give a range to encompass different scenarios, but our guidance that we give, we assume normal weather, a stable economy, and good execution. And so, we're just getting the year started. And as we go through and see how the years going, we'll update that guidance. And as you saw last year, we'll tighten it and raise it accordingly.
Brian Biros: Maybe follow-up just then on the mix between public and private. Public, as you mentioned on the call, even on the private side, both good tailwinds going into the next year. Multi-year tailwinds. Do you see the mix between the two changing at all going forward? Perhaps strength between the two came a little bit different? Public maybe a little bit stronger. [indiscernible] states in the southeast that are seeing good trends on the private side, too. So just wondering how that that mix shift looks for you guys, if any mix shift going forward?
Greg Hoffman: Actually, I think what you'll see, if you look at our filing, the mix has changed a little bit in 2023 overall from, basically, 60/40 in prior years to roughly 63 public/37 private in 2023. So I think that shows quite a bit of demand in the public environment, both state and federal levels, as Jule discussed. So, that could go up potentially in the public side based on what the demand provides in the marketplace. But I think we're comfortable with that mix going forward. 
Operator: Our next question is from Michael Feniger with Bank of America.
Michael Feniger: Just following up on the conversation between public and private, I'm just curious, on the on the private side, can you just tell us what you're actually seeing with activity there in recent months? That business on the private side, are you expecting that to be up in 2024 high single digit? You guys have given great color on the public side. It seems like there's nice tailwinds there. I'm just curious. There's some concerns in the market around private seeing higher rates, potentially impacting some private construction activity. Just curious what you guys are seeing, given your geographical footprint?
Fred Smith, III: Michael, that's a great question and one that we've been getting and it's something that I watch very closely, look at the bid sheet each week to see any – in all of our local markets, what opportunities we're seeing.  And the surprising thing for us this past year, and especially the last six months, things on the commercial and private side have held up very well. And as I said at our Analyst Day, the mix, I think, has evolved over the last year. Housing has remained steady, even though that's not a big part of what we do. I think the fact that so many people are not selling their existing homes, the customers we do support from a residential standpoint, the builders are experiencing good demand for their products.  But what we've really seen, in addition to the residential migration to the southeast, is business migration to the southeast. And I think you've heard that from other customers or other companies in our industry. There's just a lot of heavy duty industrial demand where businesses are building manufacturing facilities, labs, and headquarters. And so, that continues to just be a steady demand for the commercial environment. Ned, do you want to weigh in on that?
Ned Fleming, III: Michael, it's interesting. We're in a relative market share business. So in the markets that we compete in – and we see this because SunTx invests really in the sunbelts of the country. There continues to be a lot of growth, the demographic trends are driving that. Number one. And number two, the business trends are driving that. So in a relative market your business, what we're worried about is the growth in Raleigh, Durham, the growth in Huntsville, Alabama. And in each of these 70 plus distinct markets, we continue to see growth commercially, residentially, everything. In fact, in most of the places we're doing business, there is a housing shortage, there's a supply problem. And that supply problem isn't going to get solved for somewhere between 6 and 10 years.
Michael Feniger: Good to hear, guys. And just my follow-up. We're still seeing pretty high price increases on aggregates and rocks. And I'm curious what you're seeing in terms of your input and your costs, your competitors, and basically how you feel the environment is to still pass that along. I know you kind of referenced what you're seeing out there in terms of the bids and the prices, just curious how you're kind of thinking with some of the inflation, even though inflation is coming down, but you're still seeing some high price increases in some of these more material spots, material input, just curious how you feel like you guys and the competitors' ability to kind of pass it along in 2024.
Fred Smith, III: Michael, our model is just to pass-through the inputs through our bids. And so, you're right, we are continuing to see price increases in our input costs, and we believe that construction inflation is going to continue to be higher than what you might see CPI or consumer inflation be because of the demand environment that the IIJA and just the commercial economy is creating. So, you're right, I think that we'll continue to have inflation and our model just passes that through to the customers. 
Greg Hoffman: I would add to that, that part of the sharp spike in inflation that occurred 18 months ago is difficult for anybody to absorb. But whatever level inflation is at, as long as it's relatively stable, we can pass that along. 
Operator: Our next question is from Adam Thalhimer with Thompson Davis & Co.
Adam Thalhimer: Jules, are you fully past the supply chain issues now?
Fred Smith, III: I would say, Adam, that the supply chain, yes, is it like it was in 2019 or 2020? No. But I would say we've just gotten to where we can do business in a normal way in the new world. So it's not something we've talked about at all now. So I guess the answer to the question is yes.
Adam Thalhimer: I'm curious on the large project side where you guys would be part of a JV just to do the paving work, are you seeing more of those types of opportunities with the IIJA?
Fred Smith, III: Adam, I was recently at a conference and I heard an industry economist break down the use of the IIJA funds in the different states and regions. Just it was interesting to see and really encouraging for me that, in the southeast, most of the money for the IIJA funds are going to either maintenance or capacity increase to existing infrastructure. And as I said, my prepared remarks, that's exactly what CPI – that's our specialty. And so, maybe in future years, there might be some bigger projects, but, right now, we're seeing a lot of the states that we're in use it to do maintenance and capacity increase. And so, that's what we're bidding on.
Adam Thalhimer: And it sounds like that's what you prefer.
Fred Smith, III: Certainly on larger projects, we'll participate as a subcontract or as a JV partner. But our specialty is to do smaller projects with higher margins. And so, maintenance and capacity and widening of roads, those are the projects that – they're right in our wheelhouse.
Adam Thalhimer: Greg, just real quick for you. The SG&A leverage was particularly strong in Q4. Was there anything unusual in there?
Greg Hoffman: No, I think it's just a normal trend that we talked about, 15 basis points, 20 basis points year-over-year. Of course, the fourth quarter was certainly better than last year. 6.9%, I believe, is what it was this year. So it's just a normal trend, I think we're going to continue to see.
Operator: Our next question is from Brian Russo with Sidoti & Company.
Brian Russo: Maybe you could just elaborate on the September backlog of $1.6 billion still showing a lot of resilience despite DOT lettings, seasonality and just the overall construction seasonality of the business. Just curious how that triangulates to your reaffirmed 2024 guidance, just any insight there would be great.
Fred Smith, III: Brian, I'm glad you asked that. Our backlog has grown now for 12 straight quarters. And you've heard me say this, and I'm glad you gave me the opportunity to say it again. It is not atypical as CPI for our backlog to go down sequentially, especially in the busy work season. And so, at some point, that's going to happen, and that's not going to surprise us at all because the DOT lettings are not in a steady state. They come in at different times of the year, and we do work at different levels. We're a seasonal business.  I think the backlog being at the level it is shows the demand that we have. But we've sold a large percentage of our capacity – as we've said, our next 12-month revenue, a lot of it is own backlog. And that gives us good visibility. But we can only book so much of our capacity at any one time. So we feel good about our backlog. But at some point in time, it's going to go down sequentially, and that's not going to be anything that surprises us.
Greg Hoffman: Brian, I would say that we still think that 75% of the next 12 months' revenue is covered by our backlog. That hasn't changed.
Brian Russo: And you mentioned earlier about the business model and the repeat customers. Could you possibly, like, quantify what percent of the overall business is considered recurring revenue? Is it just the public market of 63%? Or is the kind of the strong relationships you have on the commercial side? And with all the economic development, does that also create another level of recurring revenue for construction perhaps?
Fred Smith, III: Brian, absolutely. So, the public revenue, virtually all of that is repeat customers. But on the commercial side, a large part of that is repeat customers and long-standing relationships where we do – whether it be in the panhandle of Florida for St. Joe's or Pulte Corporation in Raleigh, North Carolina. There's just customers that you build relationships with and provide good service and those are repeat customers year after year.
Brian Russo: Just lastly, on the CapEx, the $90 million to $95 million in 2024. Is any of that growth CapEx earmarked for any specific projects at this point? Or is that still kind of being evaluated?
Greg Hoffman: No, it is earmarked. We go through that process during our budget time. And so, yeah, there was a process of evaluating various projects for future growth and that has now been identified and put in the books, but we're not prepared to announce anything specifically at this time.
Fred Smith, III: Brian, I would just say Greg does a great job of leading that process. But that's just really just where we highlight organic growth. We want to prioritize organic growth. And so, each of our local markets submits their initiatives for what they what they see as organic growth and we find the best initiatives there. So that's one of our growth levers and that's the process that we make it happen.
Operator: [Operator Instructions]. There are no further questions at this time. I would like to hand the conference back over to management for closing comments. 
Fred Smith, III: I'd just like to thank everyone for joining us today. We look forward to having a good fiscal year 2024. Thank you. 
Operator: Thank you. This will conclude today's conference. You may disconnect your lines at this time and thank you for your participation.